Operator: Greetings. And welcome to the Cancer Genetics’ Fourth Quarter and Fiscal Year 2014 Financial Results and Corporate Updates. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over our host, Mr. Paul Arndt, Managing Director of LifeSci Advisors. Thank you. You may begin.
Paul Arndt: Thank you, Melissa. And thank you for joining us for Cancer Genetics fourth quarter and full year 2014 earnings conference call. On the call today are company President and Chief Executive Officer, Panna Sharma; and Chief Financial Officer, Ed Sitar. The company issued a press release this morning highlighting the company's financial results and progress on operation. Following the Safe Harbor statement, Panna will provide an overview of the fourth quarter and full year, including recent events and company activity. Ed Sitar will then provide a summary of the quarterly and full year financial results. Lastly, Panna will provide a brief corporate outlook for 2015. We will then open up the call to questions. I would also like to highlight for everyone on the call today or listening in that slides are available on the CGI website under the Investor Section Presentations tab, the highlight of financial and operating results being discussed in today’s call. I would also like to remind everyone that various remarks about future expectations, plans, and prospects constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Cancer Genetics cautions that these forward-looking statements are subject to risks and uncertainties that may cause their actual results to differ materially from those indicated, including risks described in the company’s filings with the SEC. Any forward-looking statements made on this conference call speak only as of today’s date, Thursday, March 12, 2015, and Cancer Genetics does intend to update any of these forward-looking statements to reflect events or circumstances that occur after today’s date. This conference call is being recorded for audio rebroadcast on Cancer Genetics’ website at www.cancergenetics.com. All participants on this call will be in listen-only mode. The call will be followed by a question-and-answer session. With that, I’d like to turn the call over to CEO and President, Panna Sharma for his opening comments. Good morning, Panna?
Panna Sharma: Good morning, Paul, and thank you for everyone on the call today. Thank you for joining us and taking time to participate in our fourth quarter and full year earnings conference call. I am very pleased to have the opportunity to highlight our achievements both operational and financial for 2014 and I’m even more enthusiastic and very optimistic about 2015 and beyond. The momentum our business is gaining, the impact that we are making on the personalization of cancer care is very unique and this morning we will share with you some of our plans and strategic initiatives for this year and take questions about the Q4 and 2014 results and future direction. Cancer Genetics is an emerging leader in providing critical genomic and biomarker information for the personalization of oncology treatment. We offer our proprietary disease specific and clinically validated genomic tests at cancer centers, clinical hospitals, biotechnology and pharma companies, and as well as, research organizations. We have a unique and unparallel global infrastructure for the development and delivery of oncology diagnostics from bench to bedside work through our state-of-the-art facilities in New Jersey, Research Triangle Park, North Carolina, India and China. Our research collaborations with over 17 leading academic and research centers, including Mayo Clinic, Memorial Sloan-Kettering, The National Cancer Institute, Columbia University, The Cleveland Clinic and many others allows us to access innovation in oncology and genomics, rapidly validate our insights and be an unrival partner in translational oncology. Let me begin by discussing some of our the recent progress CGI has made as we continue to advance our goal of leveraging our market leading molecular oncology capabilities and our footprint to become the premier partner for personalizing oncology diagnostics from bench to bedside. Our acquisitions that we closed in July and August, respectively, are beginning to bear fruit from both the capabilities and revenue standpoint. Our new colleagues in North Carolina and India and China are contributing significantly to our growth and have helped to capture important segments of the oncology marketplace for fast -- for the oncology marketplace that will deliver results for CGI and our shareholders. Our footprint to discover, develop and deliver oncology-focused testing in United States, India and China, is a differentiator not only with biotech and pharmaceutical companies, but also is a unique competitive advantage in developing, validating and operationally delivering on our proprietary portfolio. We are now capturing meaningful revenue synergies from our acquisition and have won several new contracts that we expect to announce throughout the year as a result of these synergies. With the acquisitions well on the integration path and with new targeted genomic content continuing to be validated and launched both through our own effort and through our joint venture with the Mayo Clinic, Oncospire, we are very enthusiastic and very well positioned to continue capturing and expanding our share of the precision medicine spend in oncology. Ed will discuss the financial details in shortly, but let me share with you a few of the metrics that demonstrate the significant momentum in our business. Our full year revenue in 2014 increased 54% to $10.2 million and our fourth quarter revenues were $4 million, a 118% increase over last year, putting us on a $60 million run rate going into 2015. This is also a 25% increase over the prior quarter in ’14. This growth was driven by the contributions not only from Gentris and BioServe, but also strong growth in our clinical business. The Biopharma business grew 112% year-over-year and our clinical service business grew 21% year-over-year. One of our newest areas of business, Discovery services, which provides critical oncology, development and testing to research institutions during an investigation on discovery phases also continues to gain market traction. It is the new service line that we’ve only recently begun reporting in the third quarter last year and it generated roughly $200,000 in revenue during 2014. Beyond acquisitions, we continue to secure additional collaborations with leading cancer research institutions as we did in the fourth quarter with Columbia University to identify genomic signatures, markers and novel treatments in myeloid cancer, specifically for MDS and AML. This comes immediately after our collaboration with Beth Israel Deaconess Medical Center to examine genomic markers in patients with lymphoid cancers, specifically Diffuse Large B-Cell Lymphoma. We now have 18 such major research collaborations and partnerships in the U.S. and globally and are looking to continue advancing our collaboration as a meaningful differentiator for the business and an accelerator in securing clinical data and adoption. Our market penetration continues to grow as a result of our work with major global healthcare companies and biotech and pharma such as Gilead, Roche and AstraZeneca. During 2014, we were selected by AstraZeneca CAMCAR division that serves Central America and Caribbean to provide biomarker-based diagnostics for cancer. In addition, we also expanded and entered into an exclusive multiyear agreement with Roche Servicios, an affiliate of Roche to expand the molecular diagnostic cancer testing throughout Central America and the Caribbean. Most recently, in our biotech and pharma business, we selected the Power Molecular and Biomarker Testing for six clinical trials with leading biotechnology companies focused on hematologic cancer. This impacts our backlog and revenue, even more in 2015 and we expect this to continue to accelerate. On the healthcare center front, we also entered into a multi-year agreement to provide a FHACT cancer test, which is for cervical cancer to PathAdvantage which is a greater gynecological lab servicing the greater Dallas-Fort Worth area. And we believe such collaborations and partnerships will be a blueprint for extending that throughout the nation. Launching additional test and service also continues to drive significant customer demand from the biotech and pharma category. We recently launched focused CLL, our unique generation sequencing based panel for chronic lymphocytic leukemia. This is the only panel that is available commercially targeting CLL. Last month, this panel was selected by leading biotechnology company to provide genomic information for a global clinical trial. And we believe this is a hallmark and blueprint for additional trial throughout the year. Our backlog due to biotech and pharma remains significant. As of year-end, Biopharma services backlog was over 25 million and again we closed several new deals so far in 2015 that were announced in January, primarily in hematologic cancer. We also think it’s in our best interest to protect and enhance the value of our innovation and also to grow our IP portfolio. During the fourth quarter, we received two key patents for FHACT. We also received CE Mark approval in Europe. And we also continue to believe that these are important markers for showing product development and product flagship. Finally, we also strengthened our management team to help us continue expanding the business. We appointed an executive from Roche, Rob Fannon as Vice President of Operations for RTP location. He brings more than 10 years of operations, client management and biorepository experience at Roche -- from Roche Molecular. We also appointed Randy Goodman, Ph.D. as a Director of Reimbursement and revenue cycle management. Randy brings over 20 years of experience in value-based reimbursement from both the public and private sectors in health economics and healthcare policy. We’ll continue to expand and build a world-class management team, so we continue to scale the business. On this -- on our board, we added Dr. Howard McLeod and Mr. Geoff Harris to the Board of Directors. Dr. McLeod is the Medical Director of DeBartolo Family Personalized Medicine Institute at Moffitt Cancer Center and a senior member of the Division of Population Sciences. Geoff Harris is a portfolio manager and managing partner at c7 Advisors and a former banking executive from Cantor and UBS. We’ve developed at CGI, a very unique business model and launched several innovative genomic panel with a strong history of growth and are very enthusiastic about future revenue expansion as well as getting additional market traction. At this point, I’ll hand over the call to Ed to review our fourth quarter in more detail and our full-year 2014 financial results. Ed?
Ed Sitar: Thank you, Panna and good morning everybody. We finished the year extremely strong with growth across all business lines. Synergies of the combined cancer genetics are powerful and our new sites are making meaningful contribution. Fourth quarter revenues were just over $4 million, 118% increase compared to the fourth quarter of 2013 and a 25% increase over the third quarter of 2014. Looking at the increases by category, Biopharma services were up 280%. This growth was driven by our acquisition. Clinical services was up 24%. This growth was largely result of increased test volume and Discovery services was up 103% to $0.1 million. Cost of revenues increased 127% to $3.1 million, principally driven by costs from our acquisition. Gross margins were approximately 23% or $941,000 which compares to 26% or $491,000 in 2013. The difference here was in part due to grant we received in 2013 which did not have significant incremental cost associated with it. Total operating expenses were $6.9 million in the quarter compared to $3.2 million in the same period last year. Included in 2014, operating expenses are $1.7 million in non-cash charges from stock-based compensation and $1.3 million of cost from our acquired operations. Research and development expenses increased by 86% to $1.5 million due to $530,000 in collaboration deferred cost including our OncoSpire joint venture with the Mayo Clinic and increased compensation cost. G&A expenses increased 113% or $2.2 million, principally due to an increase of $1.1 million in stock-based compensation cost and an ongoing cost from our acquisition. Sales and marketing expenses increased 116% or $659,000 primarily due to increase in compensation cost of $230,000 and $300,000 of sales and marketing effort from our acquisition. Our shares outstanding in December 31, 2014 were 9,821,169. Our diluted shares for the quarter ended December 31, 2014 were 9,641,486. The difference in these amounts is due to vesting of restricted stock awards. When we review operating performance, we exclude one-time items related to our M&A activity. Using this measure, our loss for the three-month period was $4.7 million or $0.49 per diluted share, compared with a loss of $3.1 million or $0.37 per diluted share in 2013. These measures are non-GAAP figures and are reconciliation is included in our press release and on slide 12 of the deck that Paul referred to earlier. Our GAAP net loss for the fourth quarter was $5.2 million or $0.55 per diluted share, compared to a loss of $2.5 million or $0.37 per diluted share in 2013. Now, let’s briefly review the 12-months ended December 31, 2014. Full year revenue increased 54% to $10.2 million. Revenue from Biopharma services increased 112% or $3 million to $5.6 million, principally due to our acquisition. Revenues from Clinical services increased 21% or $770,000 to $4.4 million, primarily due to an increase in test volume. Revenue from Discovery service was approximately $200,000 and represents about 2% of our rev. Cost of revenues increased 72% to $8.5 million, mostly driven by acquisitions and a $460,000 increase in lab supply costs. Gross margin declined as a percentage to 17% in 2014 from 25% 2013, while gross margin dollars remain flat. Operating expenses for the full year were $21 million, compared with $10 million in full year 2013. 2014 operating expenses include $3.8 million of stock compensation expense. Under the operating measure I discussed a few minutes ago, our loss for the full year was $16.2 million or a $1.71 per diluted share, compared to a loss of $17 million or a loss of $3.64 per diluted share in 2013. As a reminder, this measure is non-GAAP as rephrased in the reconciliation in the press release and on slide 12. On a GAAP basis, our net loss for the 12-month period ended December 31, 2014 was $16.6 million or $1.80 per diluted share, compared with a net loss of $12.4 million or $3.64 per diluted share for the year ended December 31, 2013. All 2013 share calculations are based on diluted shares of 9,461,663. Total cash at the end of the year was $31.9 million and includes the $6 million restricted for our loan facility at Wells Fargo. We believe we will still be able to announce significant progress and bring up the restriction of cash collateral. We had unrestricted cash and cash equivalent of $25.6 million as of December 31, 2014. As I complete my first year at Cancer Genetics, there are number of areas we’ve made progress in. One that I would like to highlight is the strengthening of our third-party billing and reimbursement function. This crew now under a leadership of Dr. Randy Goodman makes strides every month. Now that Randy is with us, we were able to move more rapidly and advanced activities that are crucial to our growth. Specifically, we will improve our technology, which will increase reimbursement velocity and results. Number two, we will have substantive discussions with payors regarding the value of our proprietary tests and their effect on both cost and appropriateness of care. And number three, we will develop health economic model that will clearly demonstrate the value of working with Cancer Genetics. These models will provide a clear introduction to payors regarding our technology and value, especially payors that are not familiar with our story. I will now hand the call back to Panna.
Panna Sharma: Thank you, Ed. As you can tell, we are both very excited about the revenue expansion in the business, as well as the things we are putting in place to continue scaling. Let me provide some context on our outlook and the way we reviewed the remainder of 2015, as well as some of our strategic efforts before I turn over for Q&A. As Ed pointed out, securing foot of the market penetration will require an additional 12% clinical reimbursement. We have a great team that we have put in place and we expect that will improve reimbursement and more importantly, improve the velocity of collections and cash end of the business. As a growing commercial organization, it’s the critical area for focus in 2015 and will help differentiate our products in the marketplace. Secondly, biopharma partnerships as evidenced by our growing backlog, which is $25 million for the close of the year and growing rapidly. We’ve closed an additional $2.5 million, $2.6 million in January alone. We think that our biopharma partnerships will continue supporting the growth of our business and more importantly helping to accelerate the demand for our proprietary genomic panel. We’ve also accelerated thirdly our launch of next-generation sequencing panel. We expect to launch several new offerings this year, not only in somatic areas of cancers such as lymphoid, myeloid and renal, but also in germline areas such as Pharmacogenomics. We believe these targeted panels are very unique in the industry and are very different from the pan-genomic offerings that are out in the market today. We believe that these specifics is focused approach to diagnosing and more importantly providing therapeutic insight and option is unique and is one of the reasons we also partnered with Mayo Clinic in developing a multiple myeloma panel, which will be launched later this year. Market penetration for FHACT, as I said before, the addressable market for this product in the U.S. alone is between $2 million and $3 million tests annually and the unique aspect of this test is that it was designed to work from leftover material for women from either a Pap or HPV test, causing no further invasive samples to be taken and it provides critical guidance on how to best triage for her care going forward. We previously launched the significant clinical education initiative to further enhance the understanding of this breakthrough test. And in 2015, we will be bringing on various key women’s health centers, as well as regional laboratories to trials and also creating an advisory board to help the adoption and education of this product. That’s the best major initiative for this year and I look forward to reporting on our progress, both on the revenue front and also on the market development front as the year moves along. And finally our focus on management team, building out the global footprint and building a business that is well poised to change patient outcomes through genomics and the personal invasion of treatment requires a world-class team. Our competitive position will continue to grow as we bring on great leaders throughout the organization and we look forward to bringing on new colleagues to help us accelerate our growth. So, what we are putting in place is a very unique business model that is a solid long-term business focused on fundamentally changing oncology care and more importantly, delivering business on a global scale. We look forward to executing on the opportunities ahead of us and continuing our revenue expansion and our market adoption. With that, I would like to now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Sung Ji Nam with Cantor Fitzgerald. Please proceed with your question.
Sung Ji Nam: Hi. Thanks for taking the questions. So was wondering what percentage of your clinical services test volume is coming from FCAT now?
Panna Sharma: Good morning, Sung Ji. How are you?
Sung Ji Nam: Good. How are you?
Panna Sharma: Good. Good question. For FCAT in 2014, about 8% of our clinical volume came from FCAT.
Sung Ji Nam: Okay.
Panna Sharma: And about 7% of the clinical revenue.
Sung Ji Nam: Okay. Great.
Panna Sharma: Those who think that we are looking at FCAT for this year, is not only to proven revenues for FCAT, through some of the studies that we are working on, but also to replicate the model of divisional laboratories, adopting it and so it will be important year for replicating that strategy.
Sung Ji Nam: Okay. Great. And then my follow-up -- was wondering if you could give us an update on the number of sales and marketing professionals, you guys currently have or by the end of the 2014 -- at the end of 2014 and your plans for the year ahead as well? Thank you.
Panna Sharma: Okay. So, we have two distinct segments for our business, the biopharma as well as the clinical. On the clinical side, our focus has remained fairly flat. So we were end of the year roughly at 12 first people. Since then, we are now kind of reorganizing the team that focuses more on FCAT and to get more productivity per sales rep. On the biopharma side, we’re expanding quite rapidly because with significant demand, we have four people today focused on biopharma sales. On both the biopharma sales as well as the clinical team, we expect to increase those numbers close to double by the end of the year. So, we are looking on the biopharma side to be closer to eight to nine people, focused on that segment and on the clinical side by the end of the year to be between 16 and 18.
Operator: Thank you. Our next question comes from the line of Ben Haynor with Feltl and Company. Please proceed with your question.
Ben Haynor: Good morning, gentlemen.
Panna Sharma: Good morning, Ben. How are you?
Ben Haynor: Doing well. Yourself?
Panna Sharma: Great.
Ben Haynor: Excellent. So it appears that you have some good early success with the Discovery services business. Do you see if there is something that can make up a meaningful portion of revenue and potentially be kind of an up sell to existing biopharma clients?
Panna Sharma: That’s a great question, Ben. I’m glad you ask about it. As you can see, it’s a small piece of our revenue today but it will be rapidly growing. We see a number of -- we characterize the business in Discovery services for you. We do see that growing several folds this year. A lot of that work is being done today in India because of the economic advantage of getting discovery work there. We’re seeing revenue come from multiple sources. The first is exactly as you pointed out, up-selling synergies or cross-selling synergies into many of the biopharma accounts that we’re working in, where they need help not only in the clinical trials but they realize that our technology can help them in late stage discovery, earlier stage profiling and screening and because our focuses is purely transitional. A lot of the research work has being done both, in large scale academics, large scale covenant and big pharma is now purely transitional in nature. So, we’re uniquely positioned because of our clinical heritage to do that research work and because of the infrastructure we have in India and China, we are uniquely positioned economically to do that at a level where it’s quite attractive today. So, we do think that over the next two to three years, it will become a meaningful chunk and it will be a nice margin contributor to our business.
Ben Haynor: Great. That’s very helpful. And then kind of along the same line, it seems like you get some pretty quick wins with the focus CLL, NGS panel out of the gate. Do you envision similar types of wins with biopharma, once you launch the OncoSpire multiple myeloma test? And then also do you envision that clinicians of the Mayo Clinic might have some pretty rapid uptake, given that they’re your partner in OncoSpire?
Panna Sharma: I would expect that the question, the question is really around the uptake of our other panel with the specific focus on multiple myeloma. So I do think that multiple myeloma is a category that’s very, very unmet today. To give you some insight into the panel that we are planning on launching is through OncoSpire. About 80% of the sites on that panel are not available on the foundation on gene panel, we’ve know that panel is several times larger, five time larger. So, again, our disease focus is very unique and because we are able to have that biological insight since the development of these panels, we also then take a look back and think what are the drug pathways that has been used for the drug in that disease case and we are able to put that on this panel. So that unique approach we think makes it very attractive to the biopharma customers. And so when we look at the biology of the genetics about the disease categories we very much spend a lot of time not only in the literature, but also with qualities and also on lab looking on what are the sites that are involved in the evolution of that disease, which one is the most important, which ones have significant impact that can give us meaningful insights and we typically improve those on a disease specific panel. Such that we did with our CLL panel and it attracted a lot of attention, same thing we’re doing now with all of our panels, including multiple myeloma and because of that focus we think out of the gate we view there is a lot of interest. We do think that clinically, there’s already been a lot of interest from the follow-ups to ASH that we’ve had both for our lymphoid as well as for the multiple myeloma panel with Mayo. And we think that in multiple myeloma really is not a lot of a great technology today to help better give prognostic information and massive disparity option. So in that way, this panel is very uniquely positioned and we do expect a lot of acknowledged and thought leaders in the community to adopt it. For the Mayo specifically we adopted, I can’t comment on that. That’s really up to the clinicians and each practice that’s really not dictated by the relationship. But I think, we have a very compelling test and I do expect that a lot of the thought leaders both in the pharma side and the thought leaders in the clinical side will use the product.
Ben Haynor: Okay. Great. I’ll follow the rules and jump back in the queue.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Thomas Pfister with RedChip Company. Please proceed with your question.
Thomas Pfister: Good morning, Panna and Ed. How are you guys doing today?
Panna Sharma: Good, Tom. How are you?
Panna Sharma: How are you?
Thomas Pfister: Good. Good. Just my first question here. So given the $25 million plus in your backlog for Biopharma services? How should we think about how this revenue will be recognized over the next 12 to 18 months?
Ed Sitar: Tom, good question. So we -- our backlog today to give you some more color on how it looks. Again we closed the years by 25 and we closed another $2.5 million or so approximately in January. We model it occur over about a two and a quarter year period. That said, we are skewing recently two larger wins and those tend to be a longer timeframe. So it balances out. But we also are giving a lot of earlier stage wins in Phase 1 and Phase 2 work because of our acquisition in RTP. And so there’s a lot of synergies there and so we think the timeframe to recognize that it’s still about the same during the quarter or so. I would not be surprised if that moved towards 2.5 years or longer because of the larger trials that we are beginning to win the Phase III. They tend to be over several years. So it’ll be bouncing. I think we’ll get color as the year progresses. And as the year progresses, we think there’s a significant shift. Obviously, we’ll share that information as well. But we look at it about a two and a quarter -- we look at that 10 quarters and has not changed that much yet. Thank you.
Thomas Pfister: Great. Thank you for the color there and then just another follow-up for me. So you can go over what your long term gross margin target is over time and how should we think about the improvement in your gross margin as you grow both your Biopharma services and as you continue to improve on obtaining reimbursement from payers?
Ed Sitar: Good question, Tom. A lot of content in there. So let me try and break it down a little bit for you. So our long-term gross profit margins for our business are in our model, we expect to achieve 60% to 70% gross profit margin. To achieve that, of course, we’ll have to get a larger scale. Scale matters a lot for us to run biotest for volume versus running ‘15. There’s not a lot of additional COG. So as we get to scale on this test, we will improve our gross profit margin. Because we’ve had the acquisitions and also we are scaling up because of the backlog increase, we’ve seen fairly flattish gross profit dollars is $1.7 million in the prior year and again $1.7 million this year. So the dollar we managed remained flat but the points break came down. We do seem that will start increasing going forward both as we optimize the size that we’ve acquired, but more importantly as we pick up volume level test that we’ve launched. So to build the infrastructure for the CLL test, so to build the infrastructure for lot of these complex panels, whether you want to run two, 20 or 70 a day is almost the same. So we think the gross profit margins will be an accelerated increase, again long-term looking at the 65 to 70. In terms of Biopharma versus the clinical side, it normally is utilization important but also getting the right kind of fair adoption. And so that continues to be both a tailwind and a headwind. In terms of tailwinds, we all know that the -- the headwinds, we all know about the reimbursement challenges. That’s why we are focusing a lot more on building a world class reimbursement team and every incremental $50 to a $100, $200 that we get is a meaningful piece in our gross profit margins. And so we think we’d be able to start showing an uptick in terms of our products as a result to that. And also as results to going after our own special Z codes. In terms of the Biopharma business, the Biopharma business today does have a slightly more attractive gross profit margin that’s because we are in an environment to which there is a massive race to get the genomic information for these oncology drugs. We think that will continue for quite some time. And I think over the next year, year and a half we’ll start showing improved, demonstrating the high value of the products clinically because of the cannibal care movement and because of the extreme focus we have on building out our health economic model. Over time as you expect that the gross profit margins both in Biopharma and clinical will start converging, but today we do see a pretty meaningful separation of anywhere between five and 10 points. But I think that’s probably uncommon for most genomic companies in our category.
Thomas Pfister: Great. Thank you so much for the color. I really appreciate you taking my questions. And I’ll hop back in the queue.
Operator: Thank you. Our next question is a follow-up from the line of Sung Ji Nam with Cantor Fitzgerald. Please proceed with your question.
Sung Ji Nam: Hi. Thank you for taking my follow-up question. Kind of related to what Ben was asking earlier just questions around the focus, I am sorry, next-gen sequencing panels as well as your other next-gen sequencing panels under development. Is the strategy to kind of we reached the next inflection point of view in terms of reimbursement to really partner with the Biopharma side of sector in general or do you have plans to conduct your own clinical trials to kind of build a stronger portfolio or case for the payers to take to look at the test kind of more seriously?
Panna Sharma: Thank you Sung. Good question. So I think the answer is yes to both. I think given that we have strong ambitions in both the pharma as well as the clinical side, we have to have amount larger data efforts in collecting -- that’s sort of lot of the collaborations that we are doing today are aimed at is not only to develop this test but then to validate it, such as the one we have with Beth Israel going on and DLBCL, and such as the one we have going on with Columbian in myeloid cancer. So yes, we think we are getting very good data, and we are getting good publications as evidenced by our presentations at ASH and also at GU-ASCO this past month for renal panel, which can predict the metastatic event associated and the size of the metastatic event. So we take these unique products. Again, we want them to multiply the studies and obtain improved clinical coverage. So that’s important to do and we’ll continue putting resources, dollars, efforts behind having those clinical trials to support reimbursement decision. At the same time because the content is so unique and often times includes the signaling pathways are the size of genomic interest for many of these drugs are these targeted pathway drugs or these genomically designed drug. Many of the drug companies find a lot of value in using our panels because of their disease specificity and because of the content they have on them as part of the trials to gain genomic information to get more insight about patient population, about books, about response, about different stratification techniques. So I think both will happen. The curve of how each will happen is probably going to be very different and -- but the same products and the same infrastructure are required for both business segments.
Sung Ji Nam: Thank you.
Operator: Thank you. Our next question is another follow-up from Ben Haynor with Feltl and Company. Please proceed with your question.
Ben Haynor: Thanks for taking the follow-up, guys. On the reimbursement fund, it seems like you’re really pleased with the work that Dr. Goodman is doing. Are there any announcements we should be on the lookout for there?
Panna Sharma: In terms of specific announcement, nothing is relatively short-term, Ben. We’ve got a lot of efforts going on, especially the payers. The payers have recently started to seriously look at NGS panel, so we think that’s a real good opportunity for us.
Ben Haynor: Again plan -- it’s really good to have it because now we are at the front of those conversations talking about how our targeted approach is not only more cost effective but also get more disease insight. So again nothing that we can signal today. But beyond the sort of new panels, Randy has also been very focused as that we’ll tell you on lot of very specific projects with payers to improve reimbursement and many of the complete panels that we have been in the past maybe I could comment on that.
Panna Sharma: Yes. An area that Randy is really and the team I should say are really focused on is working with the payers to make sure that our claims get submitted and reimbursed at appropriate level. So we are making a lot of progress on that. But that’s an ongoing process. It is hard to announce something about that. We believe we’ll see that over time as our reimbursement rates improve our average growth.
Ben Haynor: Okay. That makes sense. And then you’ve seemed upbeat into this year. Any additional color you can provide on the trends you have seen so far in Q1?
Panna Sharma: In terms of Q1, I think we continue to see strong growth in the business. I think that it’s hard to predict the quarter-to-quarter sometime, but we continue to see strong momentum, new contracts being signed. So we think we are in really good place. I think our business will continue to grow and we are optimistic about 2015.
Ben Haynor: Great. That’s all I have. Thank you, gentlemen.
Panna Sharma: Thank you, Ben.
Operator: Thank you. Mr. Sharma, there are no further questions at this time. I’d like to turn the floor back to you for any final remarks.
Panna Sharma: Thank you. Thank you all for joining our first quarter call. As we’ve highlighted, we think we’ve got a very unique business model that continues to grow, have tremendous interest from both biopharma and the clinical community, and we have several differentiators for our business, in our portfolio, our business model and in our operation that we think will be able to really impact oncology care and improve patient outcome. So thank you for listening in. And I look forward to discussing the business further with many of you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.